Operator: Thank you for standing by, and welcome to Arm's Third Quarter Fiscal Year-End 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the call over to Head of Investor Relations, Ian Thornton. Please go ahead.
Ian Thornton: Thank you, Latif. Thank you, everybody. My name is Ian Thornton, and I'm the Head of Investor Relations at Arm. I would like to welcome you to our earnings conference call for the third quarter of the fiscal year ending March 31, 2024. I'm joined today by Rene Haas, the Chief Executive Officer of Arm; and Jason Child, Arm's Chief Financial Officer. Hopefully, you will all have downloaded and read the shareholder letter. If not, it is available on the Arm Investor Relations website at investors.arm.com. The shareholder letter provides a rich update on our strategic progress in the quarter. Before we begin, I'd like to remind everyone that during the course of this conference call, Arm will discuss forecasts, targets and other forward-looking information regarding the company and its financial results. While these statements represent our best current judgment about the future results and performance as of today, our actual results are subject to many risks and uncertainties that could cause actual results to differ materially from what we expect. In addition to any risks that we highlight during this call, important risk factors that may affect our future results and performance are described in our registration statement on Form S-1 filed with the SEC on September 14, 2023. Arm assumes no obligation to update any forward-looking statements, which speak only as of the date they are made. In addition, we refer to non-GAAP financial measures during the discussion. Reconciliations of certain of these non-GAAP financial measures to the most directly comparable GAAP financial measures and a discussion of certain projected non-GAAP financial measures that we were not able to reconcile without unreasonable efforts and supplementary financial information can be found in the shareholder letter that we released earlier today. The shareholder letter and other earnings related materials are available on our website at investors.arm.com. And with that, I'll turn the call over to Rene, who has some prepared remarks.
Rene Haas: Thank you, Ian, and good afternoon, good evening, everyone. So I'd like to take a few different comments about the quarter, and then I'll turn it over to Jason for some specifics and then, we'll open it up to Q&A. We had an outstanding third quarter inside the company. We could not be more pleased. Record revenues, we exceeded the high end of the range for the guidance and extremely pleased about results overall. For Q4, we're expecting another record quarter, and to that end, we've also raised guidance on which Jason is going to give more color on. But a little bit regarding the why and how we got here. Arm has the most fundamental, foundational pervasive compute platform really in the history of digital design. Over 280 billion units in the 30 plus years that Arm has been a company have been built. And that has underpinned a software ecosystem and hardware ecosystem like no other. And given the fact that a CPU design is really driven by the hardware and the software, it creates a flywheel for continuous development. That is the more hardware that exists on Arm, the more software that's written for Arm, the more software that's written for Arm, the more popular the hardware. So we're building off a fantastic base that when we look at what happened in the last quarter, not only did we see growth driven by a number of factors but growth that we think is long term and sustainable. For royalties specifically around some of the products that shipped in the quarter, we've seen a significant transition now continuing from our v8 product to our v9 product. Our v9 product garners roughly 2x the royalty rate of the equivalent v8 product, and whereas in the previous quarter that was about 10% of our revenue for royalties. It's now moved to 15%. And that has seen growth in not only the smartphone sector but also in infrastructure and other markets, which drives growth. We are also seeing strong momentum and tailwinds from all things AI. From the most complex devices on the planet for training and inference, the NVIDIA Grace Hopper 200 to edge devices such as the Gemini Nano Pixel 6 from Google or the Samsung Galaxy S24, more and more AI is running on more end devices, and that's all running on Arm. And what that has done is driven a very strong set of tailwinds for our licensing growth. When we look at demand for new products from a licensing standpoint, what we are finding from the end market is that we've reached nowhere near good enough relative to the capability of the technology, and end customers for new designs are needing more and more Arm technology to keep up, particularly with the AI demands. So with that, our licensing growth has been very strong. We've also seen proof points around one of our strategies that we call Compute Subsystems. These are complete finished blocks of designs that we put together for our end customers that will save them significant time around validation of their engineering work and also around time-to-market relative to cycling products to the fab. One of the very first designs that was made public that uses this is the Microsoft Cobalt, which uses our Neoverse cores of 128 CPUs to be specific. We worked very closely with Microsoft around these designs using Compute Subsystems, and we see this trend only going to continue. So between strong growth in royalties that are driven between v8 to v9, all things AI needing energy efficient compute and Compute Subsystems, we feel very, very strongly positioned for growth. And again, this is completely underpinned by an ecosystem of devices that are in the installed base and a very, very large software community that develops on Arm. So with that, I will turn it over to Jason and then we'll open it up for Q&A.
Jason Child: Thank you, Rene. I'm going to briefly touch on guidance for the fourth quarter and full year. Starting with revenues. For fiscal Q4, we are guiding to a range of $850 million to $900 million with a mid-point of $875 million. This represents a raise of over $95 million compared to our prior implied guidance for the fourth quarter. When combined with our strong Q3 performance, the full year revenue guidance rises to $3.155 billion to $3.205 billion, an increase of $160 million at the midpoint versus prior. Within Q4 total revenue, we expect royalty revenues to grow mid-single digits sequentially and to be up over 30% year-over-year as we compare against the bottom of the industry wide inventory correction that occurred in prior year Q4. Royalty revenue sequential growth is mainly coming from increasing penetration of Armv9, where royalty rates are on average, at least double the rates on equivalent Armv8 products. Additionally, we are seeing an increasing amount of Arm technology in chips being deployed and as the amount of Arm technology in chips increases, so does the royalty rate. With around 35% of Arm's total, sorry, Arm's royalty revenue coming from smartphones, we have benefited from recovery in the smartphone market. But with 65% coming from markets beyond mobile, we are seeing more revenue growth from share gains and market share growth outside of mobile. Additionally, we are expecting another strong quarter for licensing with revenue up sequentially to near record levels. As with recent quarters, we expect to sign multiple new ATA deals in Q4, and demand for our latest technology remains high as customers need access to AI-capable CPUs and related technology such as our Compute Subsystems. Turning to expenses. We expect non-GAAP OpEx of approximately $490 million in Q4 and $1.7 billion for the full year. On a like-for-like basis, our full year guidance has increased by $10 million, driven by slightly higher spend in R&D. As detailed in the guidance section of our shareholder letter, to increase transparency and improve the comparability of our results, beginning in Q4, the presentation of our non-GAAP measures will be modified to exclude employer taxes related to equity classified awards. These taxes are dependent on our stock price at the time of vesting and, as a result, fluctuate independently of the operating performance of our business. The impact of this change has been factored into today's non-GAAP Q4 and full year guidance for operating expenses and fully diluted EPS. On an EPS basis, revenue strength will flow through to profit, driving Q4 non-GAAP fully diluted EPS up to between $0.28 and $0.32 and full year non-GAAP fully diluted EPS to up between $1.20 and $1.24. In summary, we had an outstanding Q3 and expect our momentum to accelerate through Q4 and beyond. With that, I will now turn it back over to the operator to kick off the Q&A portion of the call.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Harlan Sur of JPMorgan. Your question, please, Harlan.
Harlan Sur: Yes. Thank you. Good afternoon and congratulations on the strong results, guidance and, of course, execution. December quarter, as you guys mentioned, right, second consecutive quarter of strong licensing, second consecutive quarter of book-to-bill greater than 1, strong ACV. It sounds like many of your customers across all of your end markets are focusing on accelerated compute and AI and the requirements for more compute capability. And that's obviously being reflected in the strong licensing performance. How much of the expansion on recent licensing deals has been more about adding your AI specific IP, right? Like, your Ethos NPU or taking advantage of some of your Helium and Neon vector extensions for AI workloads or Compute Subsystems adoption versus just buying up the stack on more powerful cores? And then more importantly, like do you guys see the strong licensing momentum continuing into fiscal '25?
Rene Haas: Yeah. Hi, Harlan and thank you for the kind words. I'll take the first part of your question and then let Jason comment on the second half. One of the new products that we released relative from a licensing standpoint is something we call Arm Total Access, which Jason referred to as ATA. That gives customers access to a broad set of Arm technology including our most advanced CPUs and NPUs. And one of the things that we are seeing is exactly what you described. We're seeing demand for incorporating CPUs with anything that helps with AI acceleration such as vector extensions. Additionally, the ATAs give customers access to the NPUs, which they can also use for an off-load. What we are seeing anecdotally relative to when we engage customers is that the need for more compute, the need to be able to handle what I would call ability unknown relative to these large language models that either run on an edge device or in a hybrid way is fundamentally driving a need for more compute than they had before. So they are looking to upgrade to give themselves flexibility on the design and also to maximize their ability to deliver the most efficient product, whether that's lots of different cores or a smaller set of devices that may or may not include an NPU. So in summary, yes, your question, I think, is accurate relative to the conclusion of AI demand is driving a need for a lot of different products. And I'll let Jason kind of comment to the longer-term trend that we see.
Jason Child: Yeah. Harlan, I would say on the looking forward, so obviously, I only gave guidance for Q4. But going beyond that, when you unpack licensing versus royalty, because of the fact that we're largely almost entirely under contract for next year on royalties, we feel good about those trends. It's the license piece that's a little harder to forecast. If I look at last quarter and this -- in Q4, that's coming up, we've definitely had some upside from AI and selling additional licenses that were just not in our plan and not anticipated. So I think, we’re going to need to work through this quarter to find out how much of that upside continues to – and that trend flows into next year because we’ve seen this demand has been coming, I think, little shorter sales cycles than we had seen typically before. So I’d say stay tuned, and in 90 days, we’ll give you a better view.
Harlan Sur: No helpful. Thank you very much.
Operator: Thank you. Our next question comes from the line of Gary Mobley of Wells Fargo. Your question, please. Gary?
Gary Mobley: Hi, guys. Thanks very much for taking my question. Let me extend my congratulations to the entire Arm team for the strong results. Can't help but notice the strength in business from Arm China. Maybe if you can speak to what drove that strong result out of Arm China? And besides Arm China, were there any other greater than 10% customers in the quarter?
Rene Haas: Yeah. I would say broadly speaking, we are seeing increased market share gains for our products across the board, particularly around automotive and infrastructure/data center. Inside China, those are very good growth markets. One of the things we continue to comment on relative to the China market is that the China ecosystem tends to follow the global ecosystem. So as we see the share gains across different aspects of the market, we're seeing that consistent and holding true relative to China. Jason, do you want to take the other part of that?
Jason Child: Yeah. Just on the numbers to make sure it's clear. So when we announce related parties, I think we're about 30% of growth. Arm China is the largest portion of it. However, there are others. So Arm China was about 25% of total revenue, just slightly up from the 20% from a quarter ago.
Gary Mobley: That's helpful. The gains in the royalty rate per unit, if I can add a follow-on, certainly are accelerating. Is that all driven by Armv9? And should we continue to expect that upward inflection in the royalty rate per unit?
Rene Haas: Yeah. I think that's the right way to think about it. So as mentioned, Armv9 was 10% of our royalty revenue last quarter, now 15%. We see that accelerating. The other thing we are seeing is that the mixes of devices that might have a mix of v8 and v9 cores are increasingly moving to more v9 cores. And the reason for that is back to the AI comment, the compute needs of the end applications only continues to increase. And what we’re seeing is customers looking to put more and more technology into their devices perhaps even more than they originally planned for when they had licensed the technology. So it’s a compounding effect of growth. We see growth from royalty happening from v8 to v9 transition and more Arm technology being used in the same devices. So it’s a bit of a compounding effect that helps us with growth.
Gary Mobley: Thank you.
Operator: Thank you. Our next question comes from the line of Thomas O'Malley of Barclays. Your question, please. Thomas?
Thomas O'Malley: Hey, guys. Thanks for taking my question and congrats on the nice results. I just want to add a question to the v9 pile here. You guys are talking about traction in AI, smartphones, infrastructure. You're saying that, that percentage -- as a percentage of total revenue grows into the next fiscal year. Where are you seeing the most of that traction? You called out AI a couple of times here early in the call. But is that coming more from the smartphone side or the AI side? And just maybe talk about the cadence of where you see that penetration rate growing as you get into the next fiscal year. Thank you.
Rene Haas: Yeah. So thanks for the question. So a couple of ways to think about it. There's definitely growth coming from the data center side. So proof points such as NVIDIA's Grace Hopper, the Microsoft Cobalt design, the work that AWS has been doing in Graviton. What we are seeing is more and more AI demands in the data center, whether that's around training or inference. And because the Arm solution in the data center, in particular, is extremely good in terms of performance per watt and the constraints that are on today's data center is relative to running these AI workloads puts a huge demand on power, that's a great tailwind for Arm. If we move to the edge devices such as a smartphone, we've seen, and I think the recent launches, as I mentioned, with Gemini Nano and the Galaxy S24, increased AI workloads being pushed to the phone. And what we're seeing from the design standpoint is more and more compute technology being pushed into those phones such that they are AI capable and AI ready because this field is moving very, very fast. A year from now, who knows what the type of AI applications it might be able to run on a smartphone. So what we're seeing is a shift to more and more high performance capable technology to capture a wave to ensure that they can run these AI workloads. Nobody wants to be caught behind with not enough performance when the new application comes out. So that has accelerated the v9 adoption, both from a standpoint of more devices using it and more devices using more of it. And to your question, where is it coming from? It's coming from everywhere. It's coming from certainly the data center, certainly from the edge devices, and we think over time, even AIPCs. So it's a huge growth vector.
Thomas O'Malley: Super helpful. And then if I could just ask a follow-up as well. If you look at kind of the seasonality of the close year, you obviously saw really strong results in both the December and the March quarter. Obviously, you're not perfect with units. But if you look at June and the smartphone ecosystem, you're kind of seeing a little bit of a pause in the Android ecosystem and kind of some cautious data points from the supply chain in general. Could you talk about what you expect in terms of seasonality to start your fiscal year? Any titbits there would be helpful. I know you’re not guiding June, but any way to help think about how we begin the next fiscal year would be helpful. Thank you.
A – Rene Haas: Yeah. I’m not going to comment in terms of too far forward on the seasonality component to what we’re doing. But what I would emphasize is that we’re a bit of a different company to think about relative to how you think about other companies in terms of their specific exposure to a market. We are involved in just about every single end market. And every single end market is moving from v8 to v9, which have, as I said, doubled the royalty rates. And just about every single one of these markets is putting more compute into their devices. So sometimes when we’ve had questions from folks saying, well, wait a minute. I’m trying to figure out how units match up to numbers, we’re operating on a little bit of a different plane because of our broad, broad adoption. And as I mentioned at the start of the call, the pervasiveness of the architecture, it’s just driving a whole different set of growth vectors.
Thomas O'Malley: Thank you very much, guys.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Vivek Arya of Bank of America Securities. Your line is open, Vivek.
Vivek Arya: Thanks for taking my question. I just wanted to clarify, Rene, is this on the v9, is the 10% to 15% related to number of customers, number of chips or revenue related to those sales? Because I think in the shareholder letter, it's qualified as v9 of 15% of royalty revenue rather than -- I guess a bigger question is, just so that we have an apples-to-apples sense of how many of your smartphone units are actually using v9 right now versus the ones that use v9 in the last quarter? Is that a better way to track v9 adoption? [Multiple Speakers]
Rene Haas: Yeah. So let me try to answer your question and maybe Jason, Ian, if I'm missing some facts, you guys can fill in. First off, the number when we say 10% and 15%, that's a percentage of our overall royalty revenue, so that's the way to think about that. When you think about the number of units that are moving from v8 to v9, I don't think we have anything specific that I can give you on this call. But what I can tell you is just as an example or an anecdote is that v9 is being used extensively in almost exclusively now in all the premium smartphones. And the premium smartphones, such as the Galaxy S24, those are actually part of the segments that are seeing a little bit better growth than their compatriots. So given the fact that virtually all the premium smartphones have now moved to v9 and as I mentioned before, people are trying to put as much v9 technology in that smartphone to capture the AI wave, I think that's maybe 1 way to think about proportionately where some of the growth comes versus units. What we tend to see with the smartphone market, for example, is typically a waterfall over time where what was in the premium unit finds its way into the high end then into the midrange. But that's the way -- maybe a good way to think about it in terms of where the percentages are. There certainly is a lot of v9 in the premium smartphone and we're seeing a lot of premium smartphones being sold.
Vivek Arya: Thank you.
Operator: Thank you. Our next question comes from the line of Mehdi Hosseini of SIG. your question, please. Mehdi?
Mehdi Hosseini: Yes. Thanks for taking my question. Just actually as a follow-up, is there any way you could elaborate on the mix of v9 by end market like a smartphone versus cloud compute? And I have a follow-up.
Rene Haas: I'll attempt to answer that and again, maybe Ian and Jason. As I said, premium smartphone is almost exclusively now v9. And virtually every high end data center chip is v9. When you look at Grace Hopper, when you look at Graviton, when you look at Microsoft Cobalt, they're all v9-based designs.
Jason Child: And the only thing I would add on -- in terms of royalty revenue and then chips that have actually been deployed in the market, we are overweighted towards smartphones on v9 primarily because it's an annual refresh cycle. And so I would think of that being a bit ahead. Over time, I think the other lines of businesses will catch up, but it's predominantly or definitely weighted more towards smartphone for the reasons that Rene just pointed out on premium mix.
Mehdi Hosseini: Got it. Thank you. And my follow-up has to do with the market share. I think end of FY '24 -- I'm sorry, end of FY '23, cloud was about 10% market share for you and networking was 26%. Is there any way you can give us some color as how as you close FY '24, how those market shares are changing?
Rene Haas: Yeah, not today. We're not prepared to give that. When we give the updates for next year or the next quarter, we can do that. But I can say, we’re very pleased about the direction of travel, and AI has only helped that grow faster.
Mehdi Hosseini: Got it. Thank you.
Operator: Thank you. Our next question comes from the line of Vijay Rakesh of Mizuho. Your question please, Vijay.
Vijay Rakesh: Yeah. Hi. Congrats again on a great quarter. Just a quick question. On the cloud compute side, if you could give us some way of how to look at what do you think will be the growth in 2024, given you have some pretty market customers with GH20 and Graviton and Cobalt 100 now? And I have a follow-up.
Rene Haas: Sorry, I didn't catch it quite. You're asking about projected growth for next year in cloud?
Vijay Rakesh: Yeah. Just for calendar '24, how do you see the growth with those on the cloud compute side with -- you had some big market customers there now. How do you see that growth?
Jason Child: Yeah. As Rene just mentioned on the -- for the last question, we'll provide our market share update on -- specifically on Compute, which is for us, almost all cloud in infrastructure. And we'll provide some views on where we expect that to go next year. So give us 90 days.
Vijay Rakesh: Got it. And then on the mobile side, obviously, you mentioned good traction with v9. Just wondering what penetration rate on v9 is now when you look at the premium phones, I guess, all of it? But how -- what the projection on that is for the year, I guess? How do you save it for later?
Rene Haas: Is your question what percentage of smartphones are v9?
Vijay Rakesh: Yeah.
Rene Haas: Yeah. As I mentioned earlier, the numbers are somewhat skewed relative to the premium segment versus the broader segment. If you look at overall units, most of the premium, if not all, smartphones have moved to v9, and the rest of the segments have been slower to adopt. But the premium segment draws a very, very large mixture of lots of cores and a lot of royalty-rich cores. So it tends to weigh out the numbers relative to overall units. We expect v9 and Ian, keep me kind of comfortable on this, usually next three, four years to kind of find its way throughout the entire smartphone category.
Ian Thornton: Yeah. If you go back to how v8 took over from v7, it took about three years to get from [Technical Difficulty] here to about 80%, 90% penetrated.
Vijay Rakesh: Got it. Thanks.
Operator: Thank you. Our next question comes from the line of Ross Seymore of Deutsche Bank. Your question, please, Ross.
Ross Seymore: Hi, guys. Thanks for letting me ask the question. Congrats on the strong results and guide. I wanted to go back to the Arm China conversation. So a clarification and the main question. The clarification was that 25% that I think, Jason, you mentioned, was that of total revenues or just of royalties? And then the main question is, could you just help us break down a little bit how that's so strong, whether it's total revenues or just of royalties, that was a significant driver of growth. And depending upon the answer to the clarification, it could have been more than all of the sequential growth. So I just wanted to get my arms around what was really driving the growth and how much of it came from in Arm China.
Jason Child: Yeah. China was 25% of total revenues in Q3 and that's up from 20% in Q2.
Ross Seymore: And then what was driving that? Because again, by that math, it seems like the was up, I don't know, 30% and everything else kind of went down a little bit sequentially. Was that just the China handset market coming back to life? Was it more goodness beyond that? Just any color you could give on what drove that China growth that was so impressive.
Rene Haas: Yeah. We don’t break down the individual customers. But as I said, the China ecosystem tends to follow the rest of the world relative to the growth. So when we talk about growth in data centers and we talk about growth in automotive and, to your comment, certainly recovering the smartphone market helped.
Ross Seymore: Thank you.
Operator: Thank you. Our next question comes from the line of Charles Shi of Needham & Company. Please go ahead. Charles?
Charles Shi: Great. Thanks. I add my congratulations to our management team on the very strong results, very impressive. I do want to dig into a little bit more on the China and the related party side of the revenue, because when I look at your historical numbers, your Arm China contribution tracks almost identical to the related party transactions. There seems to be a little bit of a gap, seems to be expanding a little bit over the last quarter. And maybe related to that, you had very strong bookings in the last quarter, and this quarter, the booking actually comes down a little bit, but the licensing revenue actually was stronger than you expected. Was that the result of some of the earlier commencement of the licensing contracts that you probably signed a little bit earlier in the year, maybe in the prior quarter? And is that more of a timing that kind of surprised you to the upside? Thanks.
Jason Child: Yeah. So first on the related parties. So yes, typically, China has been most all of it. We did have an additional license deal that was roughly 5%, I guess, of total revenue, the difference between Arm China and the rest, that deal did come through this quarter. And so you're right, that's not something that's been continuous but was a deal that came in this last quarter. In terms of the makeup of license revenue in general, we typically run somewhere around 40% to 50% of our license revenue was from backlog, so deals previously signed but relate to technology milestones that are delivered within the quarter. And then the remainder are new deals that are signed within the quarter. Clearly, we have good visibility into backlog and what our delivery is going to be. And we have a pretty good insight into renewals or deals that have relatively long lead times. I think the one thing that we saw a little bit unique, both last quarter and this quarter, is with the increased kind of focus in AI and there just is a lot of focus on investing and building designs in AI, and so there's been some shorter cycle deals that have come up, kind of, I would say, a little bit unique versus what we've seen in the past. And that's the primary reason why we do need to spend a little more time this quarter to get our Arms around how much of that momentum will we continue to see next year. Does that answer your question?
Charles Shi: Yes. Thanks. If I may add that the China piece, your IP peers seems to be a little bit more cautious about what's going to happen, I mean, in this year and actually kind of cautious you started that late last year, but your China revenue is still going very strong. How do we reconcile the differences here? I mean, this is my last question. Thank you so much.
Jason Child: Well, I wouldn't say that we're less cautious. I think our numbers have been strong. But from a forecast perspective, we've been forecasting that China likely goes down into the teens as a percentage of total revenue. This last quarter and the quarter before, we've just seen stronger recovery than we had previously expected. And that's been certainly a nice positive surprise. In terms of going forward, we feel good about the progress we expect to deliver this quarter. And in 90 days, we'll let you know if we think that progress is going to continue into next year.
Charles Shi: Appreciate the color. Thanks.
Jason Child: Thank you.
Operator: Thank you. Our next question comes from the line of Matt Ramsay of TD Cowen. Your question, please. Matt?
Matthew Ramsay: Thank you very much, guys. Good afternoon. I wanted to go back to the Armv9 conversation on a couple of points. I noticed that this is the first time and maybe I'm just dumb and didn't see it, but I think this is the first time you had explicitly put in the shareholder letter and in writing that you were at least double royalty rates from v8 to v9. And I guess I wanted to ask you about that in a broader sense. Is that sort of across the board, across end markets and also across customers that are traditionally processor licensees and also ones that are traditionally architectural licensees and do the systems themselves? So I guess that's the first part of the question. Is that a blanket statement across the board. And the reason I ask it if you go back to lots of conversations around the IPO time frame, there were some aggressive ramps of royalty rates across your mobile business. And I think we were all trying to figure out whether the v8 penetration to v9 would drive those kind of expansion in results, or if you would need some significant contributions from sort of system license and the like to get those results. And so any context there about the applicability and breadth of that comment on doubling royalty rates on v9 would be really helpful. Thanks, guys.
Rene Haas: Yeah. Thanks, Matt. So I'll attempt to answer it and let Jason and -- if Jason wants to chime in. Yes, you're right. This is the first time we've done it although we only have done 2 of these letters, so we don't have a huge installed base to refer to. We wanted to provide some specific clarity because we had been receiving some level of questions around the thing you just asked about relative to how to think about v8 versus v9. The double, the V9 rate for the equivalent -- double v9 for the equivalent v8 is sort of a rough guidepost. But in some cases, it's quite a bit more. The Neoverse royalty rates have their own unique tables. The automotive royalty rates have their own unique tables. And some of the most high-performance CPUs that we ship into the client section have very, very significant lifted rates over version 8. So double is a good rule of thumb for like-for-like. But in some cases, it's even better than that. So that's -- but we did want to sort of provide just some clarity because we thought when folks look at the numbers in the absence of that context, there would just be a question of just help me work out how you got here. So Jason, I don't know if there's anything you want to add on to that.
Jason Child: No. I think to Rene's earlier point, I understand we're a little bit hard to model because we don't really track to other companies. And because of we're getting paid royalties on roughly 8 billion chips a quarter and just the slightest bit of mix either to more premium handsets or to more v9 versus v8, that turns out to be a pretty sensitive variable. And when you look at the growth from last quarter to this quarter and what we're expecting from this quarter to next quarter, unit growth is very, very small. It's really almost all coming from rate growth increases. And as we said back at IPO, we're almost 100% on contract for next year. So really, we're just seeing the manifestation of the work that was done in the last 2 years. We wanted to provide this v8 to v9 ratio as 1 way to help you guys be able to kind of see the progress and be able to model it. So I hope it's helpful.
Rene Haas: Yeah, I can say that one thing that we had high confidence in when we started looking at the transition was v8 to v9, we knew we had increased rates, and we knew that the royalty picture would be better than what we were in the past. I think one of the benefits we're getting, and I would use AI as sort of a driver for all this, is that the amount of v9 cores or the mix of v9 cores has been stronger than anticipated because people are putting more CPUs down, where they were not planning on putting as many or they may be putting a higher mix of v9 than v8. So that's all driven, I think, good forward momentum for us.
Matthew Ramsay: No, that's super helpful, guys. Just a quick clarification. Any comment on -- I mean, the base rates may be different and obviously, different customers have different contracts, but all of that commentary at least directionally applicable to your architectural licensees as well? Thanks.
Jason Child: Yes. Yes, it is.
Operator: Thank you. Our next question comes from the line of Andrew Gardiner of Citi. Your question, please. Andrew?
Andrew Gardiner: Thanks very much for taking the question. I have one on the licensing side. You guys have spoken about how strong it was in the quarter and the -- being surprised at the quicker sales cycle time on some of these licenses. A point that you haven't brought up on the call yet but within the shareholder letter was that you also saw three of the five ATA licensees in the quarter, the upgrades from the Arm Flexible Access program, and you said that was the first time that it happened. Did that take you by surprise or were these customers that were getting to be particularly large for an AFA and so it was natural for them to upgrade? Yes, it wasn’t a surprise. And is this something that might actually continue to surprise positively, right? Is there a portion of that cohort that is sort of natural to be upgrading from AFA to ATA and therefore contribute more in terms of license dollars?
Rene Haas: Yeah. Thank you for the question. We didn’t bring it up in our comments. We had a lot of good stuff to talk about this quarter, and I was trying to keep it as concise. But the AFA transition to ATA, thank you for calling that out. That’s a great trend for us. When we designed the program a number of years ago, that was absolutely the intent is that customers that launched into an AFA would ultimately go on to a total excess license. What largely drives that, quite frankly, is the company that AFA start to get commercial traction in their business. Some of the AFA customers are early-stage companies. They may have an early exit or get acquired. But as they get larger and mature, we expect them to embrace Arm technology in a broader way. So I wouldn’t call it a surprise. I would actually call it an expected outcome that we have, and we’re really happy to see it. It’s great. Thanks very much.
Operator: Thank you. I would now like to turn the conference back to Rene Haas for closing remarks. Sir?
Rene Haas: Thank you, and thank you, everyone, for the kind words on the quarter and a good set of questions that we had. We're thrilled about Q3, and we're very, very excited about Q4. I think what you're seeing coming to life are all the strategies that we've been working hard on over the last number of years, investment in the v9 technology, the diversification of our business into data center, into automotive and of course, IoT. And then now the -- what I think is probably the most profound opportunity in our lifetimes, which is around AI. And I think regarding AI, particularly when you think about artificial general intelligence, that's going to drive the need for more compute in a way that we've never seen before. So as good as the last couple of quarters were, we're just at the beginning. I could not be more excited about the growth that we have going forward, and thank you for all your time and questions.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.